Operator: Greetings, ladies and gentlemen. Welcome to the Vesta's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] And as a reminder, this call is being recorded. It is now my pleasure to introduce your host, Fernanda Bettinger, Vesta's Investor Relations Officer. Please go ahead.
Maria Fernanda Bettinger Davo: Good morning, everyone, and welcome to our review of Vesta's second quarter earnings results. Presenting here with me is Lorenzo Dominique Berho, Chief Executive Officer; Juan Sottil, our Chief Financial Officer. The earnings release detailing our second quarter 2025 results was released yesterday after market close and is available on Vesta's IR website along with our supplemental package. It's important to note that on today's call, management remarks and answers to your questions may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ. For more information on these risk factors, please review our public filings. This assumes no obligation to update any forward- looking statements in the future. Additionally, note that all the figures were prepared in accordance with IFRS, which differs in certain significant respect from U.S. GAAP. All information should be read in conjunction with and is qualified in its entirety by reference to our financial statements including the notes thereto and are stated in U.S. dollars unless otherwise noted. I will now turn the call over to Lorenzo Berho.
Lorenzo Dominique Berho Carranza: Good morning and thank you for joining today's call. Speaking to you now at the midpoint of 2025, the macro volatility and related uncertainty that I have described in prior quarters has continued, defined by shifting trade dynamics, tariff vagueness and muted investment decisions made by global corporations. The landscape we're navigating has been one of caution with softened new leasing momentum and tentative client decisions. Despite these pressures, Vesta's operating results again delivered resilient performance for the second quarter, grounded in disciplined execution that's tied to our long-term growth strategy. The current environment enables us to focus on extracting value from our core operations, noting that Vesta's portfolio ended the quarter at 95.5% stabilized occupancy with rents indexed to inflation and the sustained growth, recurring income and long-term maturity profile of Vesta's high-quality portfolio. Let me walk you through some highlights for the second quarter. New leasing activity continues at a slower pace for our overall industry. Nevertheless, we ended the quarter with 1.8 million square feet of total leasing activity, including 411,000 square feet in new contracts with both existing and new tenants for Vesta. While this number is below Vesta's average as tenants remain in a wait-and- see mode, particularly those in export-linked markets, it reflects a sequential increase from first quarter new leasing activity. Renewals and re-leasing activity was among the highest we have experienced in the first half of the year, which confirms the resilience of this portfolio despite current economic dynamics. In the second quarter 2025, we closed 1.4 million square feet with an average lease term of approximately 5 years. Our strong retention rates of 84% are a testament to Vesta's close tenant relationships and our team's proactive management. Importantly, we successfully continued to increase rents with some mark-to-market rent adjustments in the range of 20% to 30% as we bring legacy rents in line with current market levels. Our tracking 12-month spread for the second quarter reached 13.7%, another very important increase in our mark-to-market portfolio strategy. This uplift reflects not only the quality of our portfolio, but also again underscores the long-standing relationships we have built with our tenants who continue to choose Vesta as a long-term partner. To provide some additional color, during the second quarter, we completed Vesta Park Apodaca, building 6 and 7, which will enter the lease-up period, while Apodaca 8 remains under construction. We expect these premium buildings both located in Monterrey to be well positioned in this highly desirable location. Vesta's dual exposure to domestic consumption and global manufacturing is also a source of strength. We are focusing on completing existing projects and strategically expanding our land bank in line with Route 2030. Specifically, we acquired 128.4 acres in Guadalajara with a buildable area of 2.3 million square feet, strengthening our position in one of Mexico's key corridors. We also finalized the 20.2 acre acquisition in Monterrey, which we announced last quarter, adding another 450,000 square feet of buildable capacity in this critical northern market. Our approach, therefore, remains clear. We're focused on our long-term vision, managing our assets with discipline and executing a strategy led by tenant retention, strategic positioning and intrinsic value of our existing operating portfolio, which today is at 95.5% stabilized occupancy with rents indexed to inflation. For Vesta, this year's emphasis is reinforcing the strength of our foundation so we can scale confidently when environment normalizes. That includes accelerating energy infrastructure planning, streamlining permitting and ensuring our parks are positioned to meet the evolving tenant demand. Being ahead of the curve operationally is how we differentiate, especially in slower cycles. These principles have guided us through past cycles. And they continue to anchor our strategy as we position the company for future growth. Along these lines, as Juan will discuss shortly, we maintained discipline related to costs. achieving efficiencies in both operating and administrative expenses, which supported our margin performance and help preserve capital strength. Our financial position remains solid with strong liquidity and conservative leverage. That gives us the optionality to move when the time is right. To reiterate, despite the volatility, we view the current slowdown in leasing as a temporary deceleration, not a structural change. Companies are exercising caution, not canceling plans. Importantly, our portfolio and operational model represents an important competitive advantage. Tenant diversification, strong market presence and the flexibility we have based on our C corp structure. Critically, being a C Corp enables us to be uniquely agile, both when returning money to shareholders and reinvesting into the business without the rigidity of external distribution mandates. This flexibility has become a key advantage in an environment where patient strategic capital matters most. Recent deliveries of income-producing properties pre-leased buildings are expected to contribute to revenues in the second half of 2025 also with continued operating efficiencies, which would support full year margins. Vesta, therefore, expects to achieve its stated 2025 guidance and remains focused on the company's route 2030 long-term strategy while navigating on the current uncertainty. In closing, 2025 is proving to be a transitional year for the sector marked by caution and extended decision cycles. But Vesta remains focused, grounded and forward-looking. We have navigated through multiple cycles. And what has always set Vesta apart is our ability to stay disciplined, remain close to our tenants and make smart long-term decisions even in the face of short- term uncertainty. Trade policy stabilization and continued manufacturing resilience all point to a more constructive environment for the years ahead and future negotiations will maintain Mexico in a solid position. Mexico is increasingly well positioned to benefit from industrial realignment and Vesta intends to lead in that process. Let me turn our conversation over to Juan to review Vesta's financial results in more detail. Juan?
Juan Felipe Sottil Achutegui: Thank you, Lorenzo. Good day, everyone. Let me walk you through our second quarter results, starting with our top line. Total revenues were up 6.8% year-over-year, reaching $67 million, primarily driven by rental income from new leases and inflationary adjustments across our rental portfolio. In terms of the current mix, 89.4% of our second quarter rental revenues were denominated in U.S. dollars, an increase from 88% in the second quarter of 2024. On the profitability front, adjusted net operating income increased 7.2% to $61.8 million. Our adjusted NOI margin remained strong at 94.5%, down just 7 basis points from the prior year, reflecting a slight increase in costs related to rental income-generating properties, including real estate taxes, insurance and other property-related expenses. Adjusted EBITDA came in at $55 million, a 9% increase year-over-year, emerging expansion of 137 basis points to 84.1%, this was largely due to tighter control over administrative expenses, underscoring our continuing focus on cost discipline. We closed the quarter with a pretax income of $54.5 million compared to $131.8 million in 2024. This decrease was mainly due to lower gains on valuation of investment properties as well as a reduced interest income due to a lower average cash position during the period. Vesta's FFO, excluding current tax increased to $43.1 million this quarter from $38.2 million in the second quarter 2024, a 12.9% increase year-over-year. Turning to our capital structure. We ended the quarter with $65.2 million in cash and cash equivalents. Total debt increased to $900 million as of June 30, 2025, primarily reflecting the $100 million drawdown in April from the $345 million syndicated loan secured in December 2024. Our net debt to EBITDA stood at 4x and our loan-to-value ratio was 22.4%, maintaining a healthy leverage position. On capital allocation, as Lorenzo mentioned, we prioritize deploying capital towards completing ongoing development and acquiring land investors core market. During the quarter, we acquired 128.4 acres of land in Guadalajara, and we finalized the acquisition of 20.2 acres in Monterrey. These investments reflect our long-term vision, enhancing our strategic footprint and preparing us to meet future demand, as Lorenzo has mentioned. Finally, and also subsequent to quarter's end, on July 15, 2025, we paid a cash dividend for the second quarter, equivalent to $0.38 per ordinary shares. This concludes our second quarter 2025 review. Operator, could you please open the floor for questions.
Operator: [Operator Instructions] Your first question comes from the line of Juan Ponce with Bradesco BBI.
Juan Enrique Ponce Luiña: If you can give us a sense of how you're seeing the development pipeline progress ahead of the USMCA review which we believe could unlock some pent-up demand in the issuing markets. And if you can tie your comment with what we're seeing per CBRE regarding rising vacancy in these northern markets but stable rent levels.
Lorenzo Dominique Berho Carranza: Thank you very much for your questions. Yes, we have seen that even that there has been an uptick in vacancy in some markets such as Tijuana, Ciudad Juarez, Monterrey, we are positively surprised on how well rents have maintained. And actually, in some cases, rents have an increase in the high single digits in some of these markets, which means that there is still pent-up demand that we believe that as long as we start seeing more clarity on those negotiations, we will continue to have a better momentum on lease-up stage. On that regard, I think that Vesta has carefully selected the markets where we want to develop and anticipate for that pent-up demand, which will eventually get back and look for the best locations, the best assets. And we believe that the Vesta parks are incredibly well located. We have the infrastructure. We have energy, which is very important as a key advantage. And that's when we think that markets such as Tijuana, Ciudad Juarez and even Monterrey will be a huge support of the leasing -- lease-up property portfolio of Vesta. We currently have approximately 2 million square feet on a lease-up stage in different regions, and we see a pipeline building up. We currently have been cautious on new starts on development. And as we have always said, we like to accelerate when needed, push the brakes when needed and drive carefully under short-term uncertainties, and we'll benefit on the longer term. Thank you.
Operator: Your next question comes from the line of Pablo Monsivais with Barclays.
Pablo Monsivais Mendoza: If I'm doing my numbers correctly, perhaps by the third quarter of this year, you will have a little bit more than 1 million square feet to lease in Monterrey. However, this market has had the weakest net absorption since early 2024 compared to all main markets in Mexico. How confident are you that you can lease up these properties quickly? And how do you see Monterrey's competitive environment going forward?
Lorenzo Dominique Berho Carranza: First of all, regarding revenues, one of the interesting things about this year is that we have delivered several buildings in this quarter and last quarters that will start generating an important part of income in the second half of the year. We're talking about 1.8 million square feet approximately in places like Mexico City, places like Monterrey, Aguascalientes, and that's going to be a lot of income coming or starting to be generated in the second half. That's going to be very important for year all revenues for the company. And to your point on Monterrey, Monterrey actually had one of the strongest net absorptions throughout 2025. According to CBRE numbers, they had more than 4 million square feet in the first half. This is definitely lower than other -- than previous years. But if we continue to see some positive net absorption in these markets and right now, when we are finishing new buildings, we think that we eventually are going to have some good companies taking up Vesta space, which, again, we think it's really the best parks in the region in the best locations, and we will benefit from having the best assets. Remember that Monterrey Vesta has zero vacancy, but the only ones that we have available are the ones that we have recently developed and have recently delivered or soon to be delivered. So we are very confident that Monterrey being the largest market, we having -- Vesta having the best presence will be good assets to be marketed and lease up soon.
Operator: Your next question comes from the line of Piero Trotta with Citibank.
Piero Trotta: I would like to know about the yield on cost on projects under construction. This yield on cost expanded 20 bps quarter-over-quarter to 10.8%. Can we expect this yield on cost getting higher going forward? And how do you see the construction cost scenario in Mexico? Hear from you would be great, thank you.
Lorenzo Dominique Berho Carranza: I'm sorry, I didn't understand the question. Which type of costs are you mentioning?
Piero Trotta: The yield on cost on projects under construction, the development. The yield on cost of the second quarter was 10.8% and I would like to know if it could get higher going forward. And just an update what you think about the construction costs in Mexico.
Lorenzo Dominique Berho Carranza: Okay. Sorry, I was -- now I get it clear. It's the yield on cost. So frankly, we are very -- we have very attractive yield on costs, which are above 10%. And that's a very important spread to stabilize assets. So even if sometimes depending on the project or the region, it could vary a little bit, but it's still in the double digits. And actually, in many of these markets, our objective is to get dollar leases. I think that what has been very remarkable is that recent transactions and what I mean recent is recent as this week, we have seen cap rates are still at very low levels with recent pricing of a new FIBRA pricing in the 7.5% range, FIBRA that generates mostly pesos. So if you think about it, being able to yield above 10% when stabilized assets in U.S. dollars are sub-7%, we believe that spread investment is still going to be key for developers like ours and strategic for Vesta. So we think that those yields on costs will remain high and that will eventually benefit from our development strategy vis-a-vis acquisition strategy in lower cap rates. Secondly, we think that, I mean, construction costs have somewhat remained in the same levels. There have been some minor adjustments on cement and steel. And what is also important is the FX. But still with our estimated yield on cost, we believe that there is a lot of value to be generated from the development approach. So we will be careful and cautious on when to develop and where because now more than the cost, what is important is that lease-up periods are still in place so that we can be able to meet those returns. And if possible, in markets where we've seen rents increasing, of course, try to take that benefit on that right to and be able to increase returns as much as possible.
Operator: Your next question comes from the line of Pablo Ricalde with Itaú.
Pablo Ricalde Martinez: I have a question on your balance sheet regarding land acquisitions. I believe you will continue doing land acquisitions on the second half. How should we think of leverage by year-end, thinking of a lower EBITDA in 2025?
Lorenzo Dominique Berho Carranza: I'm sorry, can you repeat your question on EBITDA?
Pablo Ricalde Martinez: Yes, assuming like that maybe EBITDA will reach the bottom end of your guidance, and you will continue doing land acquisitions. How should we think of leverage as the debt-to-EBITDA target by year-end?
Lorenzo Dominique Berho Carranza: Okay. So net debt to EBITDA, thank you. Thank you, Pablo. So we have done very important land acquisitions in the past. More recently, the land acquisition in Guadalajara and the one that we did in Monterrey. So we have -- in the last, let's say, 12 months, we have been able to buy land in Mexico City, Ciudad Juarez, Monterrey and Guadalajara. This is going to be very helpful for our 2030 strategy. We are still might do a few more acquisitions in the second half. However, we think that we are lining up very well to the development that we will start having eventually from 2026 onwards for our Route 2030. Our net debt to EBITDA, I don't have the exact number with us, but we are currently at very, very healthy levers in terms of leverage, loan-to-value, net debt to EBITDA, and we are very careful that even with the high capacity of leverage that the company has, we will be very mindful on the net debt-to-EBITDA ratios as well as loan to values so that they are not compromised. But I think that we are in a very attractive range. Maybe Juan or Fernanda, you have the exact numbers with you, but I don't think there will be a major increase.
Juan Felipe Sottil Achutegui: Look, we have -- yes, exactly, Lorenzo. We have a very strong balance sheet. Currently, we have a net debt-to-EBITDA of 4x, 22.4% leverage ratio, a strong balance sheet, we can easily sustain the land acquisition strategy that Lorenzo has just pointed out. I'm not particularly worried. We have ample credit lines in place. So we can sustain the strategy set forth by Lorenzo at this point in time.
Operator: Your next question comes from the line of Antonio Hernandez with Actinver.
Antonio Hernandez Velez Leija: Just a quick one regarding what you mentioned in the press release that you're seeing an increase in leasing activity pipeline, expecting an acceleration towards year-end. If you could provide more color on which markets, are you seeing this? And how does this compare to your previous expectations?
Lorenzo Dominique Berho Carranza: Thank you. Well, first of all, I think that we all know that the start of the year was very slow when Trump -- President Trump took office and uncertainty was maybe at its highest together with volatility. Somewhat that has been lower in the recent months, particularly maybe right after Liberation Day. And as long as we continue to see more agreements in terms of tariffs between different countries in the U.S., we think that, that will trigger more companies to eventually look back into their plans for investment in manufacturing facilities in the right places, and that's where Mexico might benefit. We have seen a spike in number of visits of industrial parks in different regions, Tijuana, Monterrey, particularly Bajío and also the request for proposals. So that's how we mirror how much more pipeline or how much more activity we see. And that's how eventually, decisions are made based on an analysis, and this is a very -- and it's a process, and this is a very important sign that companies are now looking back into their plans. Some of them were, let's say, paused or were just -- were freezed out. But now we are seeing a material number of visits, and we hope that, that will be helpful to be materialized in the next quarters -- I'm sorry, in the next half of the year. But we are very close with the broker community as well as government authorities, our own tenants and trying to keep a very tight communication and try to understand what their challenges are, what the opportunities. And with the information that we have been gathering from having that local presence, we feel confident that second half of the year will have more activity in terms of leasing and things will somehow level up.
Operator: Your next question comes from the line of Jorel Guilloty with Goldman Sachs.
Wilfredo Jorel Guilloty: I have two quick questions. One is on your leasing spreads. So we saw that there was a meaningful acceleration on a trailing 12- month basis, I believe it was above 13% and it's at least the highest we've seen since you started publishing those numbers. I was wondering if you can comment on what are your expectations for leasing spreads going forward. And then the second question is around your development pipeline. And I apologize if you answered this earlier, but it remained unchanged, so no new starts were added. And so I want to understand a little bit about your framework and how you think about development starts. So is the view here that development starts should remain muted until you see a meaningful increase in the lease-up of your existing property? In other words, I just want to understand what would be a trigger to start launching starts again? Those are my questions.
Lorenzo Dominique Berho Carranza: Thank you. Those are -- thank you for your questions. I think it's very important to highlight how resilient the portfolio of Vesta has been throughout these quarters. And I think a very -- a strong statement is the acceleration we have seen in renewal rates, trying to be able to mark-to-market many of the rents that are either expiring or just renewing in advance. And I think that number, it's real, it's very good. We have been increasing rents by 20%, 30% in certain markets. And that trend will continue in the upcoming quarters and even in the upcoming years, and that will generate and unlock a lot of value from the existing portfolio. So we're very positive also on the amount of -- the high retention rate that the company still has. And maybe this is a positive signal, not only for Vesta, but also for the sector, where we continue to see companies committing to the long term, renewing their leases and even be able to increase rents. So that will continue to be the same situation going forward. And we are very disciplined and very proactive in working that out with our existing tenants. On your second question regarding development, we will definitely have starts in markets where we are fully leased like Guadalajara, where we recently acquired land just because we have a good pipeline, and the market is strong. And the reason why we have not started developments because we didn't have land. We did it. And I think we are going to be benefiting from a strong momentum in that particular market in the electronics sector, e- commerce and logistics, which are key for us. Nevertheless, in other markets where we have recently developed, we have buildings to be leased up, we will be cautious that in order to start new buildings, we have to lease up the other ones. I think that discipline is something that we have had in the past, and we will continue to keep it that way. And we will benefit from that. And we think that we can anticipate when we had identified that there could be demand coming from existing clients, which actually remember that most of our growth comes from existing clients as well as new companies entering the market.
Operator: Your next question comes from the line of Francisco Suarez with Scotiabank.
Francisco Suarez: The questions that I have are a follow-up on your land bank. Just to understand your -- the recent land purchases in Monterrey and Guadalajara, those are shovel-ready land. You have all the permits and everything, if you think -- because you mentioned that in markets like Guadalajara, you are more likely to start soon, isn't it, is what I understood on your past answer. And if you can also help me to understand why the revenues related with energy declined sequentially and year-over-year, that would be very helpful.
Lorenzo Dominique Berho Carranza: Thank you, Francisco, for your question. On your second question on energy, it's more -- remember that this is a pass-through mechanism. It has to do with the usage of our tenants. However, the income that we might have, it kind of matches the cost. So it really doesn't have a material impact if it increases or decreases because it's offset by the same amount almost by -- on the cost. On the land acquisitions, we are very careful and selective what type of land we buy. We regularly buy land that already has the use of land and some of the permits ready. However, there's always things to be done. There are always improvements to be done. Sometimes it's more, sometimes it's less. But I think that these land acquisitions that we have done are similar to what we have done in the past where we -- that we might do the whole entitlement process and permitting and then we will start with the construction. So that's why it might take -- it doesn't need to take a lot of time, but it's a process to do the urbanization, earthworks, infrastructure. And -- but yes, the land that we acquired is ready to be developed soon. So we're very happy with the acquisitions and the opportunities. One of them is adjacent. It's part of the Guadalajara project and the other one is going to be a new project. And then the one in Monterrey is -- again, it's urban infill where we will start -- when we kick ground, eventually, we will have to tear down a build -- an older building so that we can build a new one. So -- but it's part of the development process, and we are very excited about these opportunities that we have been able to find in a market where we can buy land at a better cost and create more value on the development process. These are highly desirable sites.
Operator: Your next question comes from the line of Abraham Fuentes with Santander.
Abraham Fuentes Salinas: I wonder if you could give us more color about the dynamics that you are seeing in Tijuana and Juarez in terms of absorption, vacancy and rents and how these trends could affect the performance of your portfolio going forward?
Lorenzo Dominique Berho Carranza: Well, Tijuana has experienced major rent growth in the last cycles, and that's why that has triggered more development. However, one of the -- there might be some major construction coming due in the next quarters. However, we still see that rents remain high. And eventually, the pipeline, we think that will pick up. We recently leased a couple of buildings in Tijuana with some of our existing tenants. So we see that there's activity from existing companies that are adjusting their supply chains. They're adjusting their production. Definitely, the tariffs adjustment globally has made companies also adjust their production. And I think that's how we are seeing the activity in markets like Tijuana, Ciudad Juarez also kind of felt a stable to positive rent growth. And eventually -- and we saw some positive net absorption in the Ciudad Juarez market. There are some buildings available. However, the ones that will benefit the most are the ones that have the energy and have the utilities ready for companies to start operation, and that's where we think that Vesta has also an important advantage. So I think that second half is going to be very important to see how all these active users materialize their decisions. And we believe that Vesta is well positioned with good quality assets in the right locations and eventually we'll be able to close with good companies as we have done in the past.
Operator: Your next question comes from the line of Gordon Lee with BTG.
Gordon Lee: Just a couple of quick questions on thinking about your renewals over the next 18 months. I know that you mentioned in the release that roughly 5% of your leases will come due in the second half of the year. But I was wondering if you could remind us of what that number is for 2026. And what do you estimate the current gap in your stabilized portfolio to be between in-place rents and market rents?
Lorenzo Dominique Berho Carranza: Thank you, Gordon, for your questions. We currently have, I think, approximately 3% of GLA -- of total GLA, which is expiring this year. We have high expectations since we have a high retention rate that we're going to be able to renew many of these leases. And we think that if we -- the number that we saw this quarter of having rent increases in the 20%, 30% range for renewals, I think that, that will continue to be the same way in the second half. And going into 2026, approximately -- we might have approximately less than 4 million square feet to be renewed. And we feel very -- we're confident that we're going to be able to -- whatever rents we have further from market to be able to close that gap, and that will generate a strong value. I don't know exactly how much it is for 2026. But I think that the trend that we have seen going upwards in the leasing and re-leasing activity will continue the same way going forward as rents continue to be high, and there's some legacy buildings that are expiring for -- are expiring in the next years. So that's going to be a huge benefit to unlock value on the existing portfolio.
Gordon Lee: And just to clarify, the 4 million square feet roughly that you mentioned for next year, is that GLA rolling over from your existing portfolio exclusively? Or are you also including the lease-up of new properties in that 4 million?
Lorenzo Dominique Berho Carranza: No, these are all properties that have a lease in place that is expiring next year. It doesn't contemplate the current vacant buildings. Vacant buildings are in the lease-up stage. That's different.
Operator: Your next question comes from the line of Alejandra Obregon with Morgan Stanley.
Alejandra Obregon Martinez: Mine is perhaps a little bit on your priorities when it comes to regional footprint. I mean, as you put together all the new land that you have acquired with what you have in stock, which markets do you think have more room for new starts, of course, when the time is right? Like you mentioned Guadalajara, but what are sort of your priorities as you put together all the external and internal factors, like which markets have more room, which ones are up in your list? I mean, as you can think of growth in the future.
Lorenzo Dominique Berho Carranza: Thank you, Alejandra. First of all, I think the priority for Vesta is to lease up vacant space because this is the one that will have an immediate impact on revenue. And I think that we have a clear marketing strategy so that we're going to be able to lease up to good companies at attractive and higher rates in markets such as Monterrey, Ciudad Juarez, Querétaro, and Tijuana, which is where we have most of the development activity or recent development activity. Eventually, the markets that we currently like the most are the ones where we recently acquired land, which -- that's Mexico City, Guadalajara. And eventually, when things get better, we can get back to other strategic markets for Vesta. But right now, I think in order to prioritize in the -- over the next quarters, I think it's mostly on the leasing activity. And eventually, we'll get to development.
Operator: Your next question comes from the line of Armando Rodriguez with Signum Research.
Armando Rodriguez: Congratulations on the operational numbers. Well, just a quick question regarding on your net income, if we -- can we have a sense of how much of this adjustment in the net income was explained by the exchange rate? That's my question.
Lorenzo Dominique Berho Carranza: Juan, can you elaborate on that, please?
Juan Felipe Sottil Achutegui: Just to clarify, on my net income, what is the effect of exchange rate?
Armando Rodriguez: Yes. If we compare the net income to 2024, there's -- particularly on the earnings per share. On the earnings per share, we saw a significant adjustment. So I don't know if this is mainly explained by the exchange rate or maybe something other factors, financial factors that are not decide.
Juan Felipe Sottil Achutegui: Well, let's go from the top. Remember that my -- basically, most of my properties are dollar-denominated properties, and we have actually increased that percentage on this particular quarter. Going down the income statement, most of our costs are peso related. And as the peso has appreciated, well, we have some pressure on margins, I guess. However, on the bottom line that you're referring to, most of the impact comes from the financial numbers, in particular, the loss that we had on revaluation of properties, which is a noncash item. But, however, on my bottom line, it does have an impact, which is why we emphasize pretax FFO. So that's why we -- the company has also emphasized that instead of looking at earnings per share, we should focus on pretax FFO because that doesn't suffer the impacts of the revaluation, which are volatile in nature.
Operator: Your next question comes from the line of [indiscernible] with GBM.
Unidentified Analyst: First of all, congratulations for your results. On my behalf, we have two questions. The first one would be with the nearly 120,000 square meters of inventory projects scheduled to deliver in August, could you provide more color on the expected leasing activity or financial impact in the second half of the year? And in another subject, with the operating cost up 5.3% compared to last year, mainly from taxes and insurance, do you see pressure in the second half of the year or some relief ahead?
Lorenzo Dominique Berho Carranza: Maybe to the first question, and then Juan, you can elaborate on the second one. We have -- the pipeline that we have under construction, which is basically projects in Querétaro and Monterrey that will be delivered in the next half of the year. We expect leasing activity to be between 3 months to, let's say, 12 months, and that's kind of how we do the underwriting. We think that these will be high-quality assets. And once the buildings are delivered, will be very attractive to be leased up and the marketing strategy is supported by bringing visits, taking clients, potential clients, and we feel comfortable on that underwriting assumption.
Juan Felipe Sottil Achutegui: On the cost side, I think that as Lorenzo has emphasized, we're focusing on cost control. I think that we have been particularly successful this quarter and in fact, this first semester, controlling costs. On the quarter itself, increases in cost around 4.8%. Well, look, I think that we will maintain the discipline. We will meet our guidance in EBITDA and property costs as well. We have been quite conscious of them, and we have been containing them as much as possible. So I feel very comfortable on the cost structure of the company. We will continue to focus on savings, and we will be -- the second half of the year, I expect to have the same discipline.
Operator: Your next question comes from the line of Alan Macias with Bank of America.
Alan Macias: Just if you can remind us of your exposure to manufacturing and to logistics and to e-commerce. And 5 years down the line, are you planning to have this breakdown change?
Lorenzo Dominique Berho Carranza: Sure. Thank you for your questions. We have identified long-term strategy towards our balance between light manufacturing and logistics. We currently are at -- maybe, Fernanda, you have the exact number, but let's say, maybe 55% manufacturing, 45% logistics, part of logistics is e-commerce, which is expanding. So we feel very comfortable that going forward, we will probably stay half and half just because we think that both sectors will be thriving. The type of facilities that we develop are very flexible to accommodate logistics, e-commerce, light manufacturing. And I think that, that is key on the -- on our portfolio strategy. And more importantly -- or let's say, not more important, but also very important, it's not only the sector, but also the type of companies we do business with. We have long-term leases with outstanding companies. We are very disciplined in the type of global tenants that we do business with. These are companies with corporate guarantees, high credit rating, and that's very important to have in place. And then -- another important disciplined approach that Vesta has is our high number of dollar-denominated leases. And we will continue to emphasize how important this is for Vesta. We believe over the long term that the dollar will continue to have more value than the peso. Financing cost on the dollar is more competitive, and we can continue to have very attractive spreads. And that's -- and for that reason, we think that, that's one of the main advantages on the company vis-a-vis our -- some of our peers who have the majority of their income in pesos and does not offset with the majority of their obligations, financial obligations and debt in U.S. dollars. So I think this discipline is key, and we will continue to have a well-balanced portfolio.
Operator: Your next question comes from the line of [ Octavio Arias ] with Signum.
Unidentified Analyst: This is from Signum Research. I have two questions. The first one is, as the market evolves, are you considering more vertical integrations to better serve tenants and capture more value? And have you seen any new or specific demand from tenants lately in the sector?
Lorenzo Dominique Berho Carranza: Can you elaborate more on vertical integration?
Unidentified Analyst: Yes, yes, like in-house projects or energy solutions for tenants?
Lorenzo Dominique Berho Carranza: Sure. Well, I think that Vesta -- one of the key differentiators that we have to other vehicles is that we are vertically integrated. We have the development platform in-house. We do not have external parties doing development or doing other things. However -- and that is something that we have highlighted over the years that we have a particular vertical integration in the structure. I think that the only other items that we might -- that we are considering is some services like renewable energies or solar panels and those sorts of things, which are very important. But we also already have several of those features in our projects. In the end, what we want to do is serve better our tenants and make sure that we are enablers for them in all the real estate aspects needed, energy being one of them, some of the property management that we do also for them. And I think that, that's why in this particular situation, it's key to have a closer relationship with tenants and try to have the best service as possible as needed. So we will continue to evaluate alternatives that help us to provide that service.
Unidentified Analyst: My second question is with the current stabilized occupancy, is there any interest like in asset recycling or divesting mature properties to fund growth in your view.
Lorenzo Dominique Berho Carranza: Yes, that's a good point. We might have some asset recycling. It's part of the long-term strategy. We'll do it now every now and then. And at the moment, I think that the key priority is to lease up the lease-up properties, the vacant space or the project that we have recently developed. But every now and then we will continue to do some asset dispositions, too.
Operator: And it seems that we have no further questions for today. I would now like to turn the call over to Mr. Berho for his concluding remarks. Please go ahead, sir.
Lorenzo Dominique Berho Carranza: Thank you, and thank you, everyone, for joining us today. As we have noted, Vesta's strategy is focused, protect value, strengthen our base and prepare for what comes next. Our platform is healthy. Our assets are well positioned, and our team is aligned around execution. We continue to move forward with our 2030 strategy, supported by a flexible capital structure, a resilient portfolio and a clear view of long-term value. Thank you all.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.